Operator: Good afternoon, and welcome to PennyMac Mortgage Investment Trust First Quarter Earnings Call. Additional earnings materials, including the presentation slides that will be referred into the call are available on PennyMac Mortgage Investment Trust website at pmt.pennymac.com. 
 Before we begin, let me remind you that this call may contain forward-looking statements that are subject to certain risks identified on Slide 2 of the earnings presentation that could cause the company's actual result to differ materially, as well as non-GAAP measures that have been reconciled to their GAAP equivalent in the earnings materials. 
 Now I'd like to introduce David Spector, PennyMac Mortgage Investment Trust Chairman and Chief Executive Officer; and Dan Perotti, PennyMac Mortgage Investment Trust Chief Financial Officer. 
David Spector: Thank you, operator. PMT produced solid results in the first quarter with strong contributions from the credit-sensitive strategy in its correspondent production business. These results were partially offset by net fair value declines in the interest rate-sensitive strategies. 
 Net income to common shareholders was $37 million or diluted earnings per share of $0.39. PMT's annualized return on common equity was 10% and book value per share was $16.11 at March 31, essentially unchanged from the end of the prior quarter. While many of the mortgage REITs have been negatively impacted by increased levels of interest rate volatility in recent periods, PMT's book value per share has remained relatively comparatively stable due to its diversified portfolio and disciplined approach to hedging. 
 Turning to the origination market. Current third-party estimates for total originations in 2024 averaged $1.8 trillion, reflecting growth from an estimated $1.5 trillion in 2023. However, we believe these estimates to be optimistic and dependent upon multiple interest rate cuts from the Federal Reserve in the second half of the year. With current expectations for market interest rates to remain higher for longer and mortgage rates back up into the 7% range, we expect these third-party estimates will decline further from their current levels. 
 PMT's strong financial performance in recent periods highlights the strength of the fundamentals underlying its long-term mortgage assets and our expertise managing mortgage-related investments in a challenging environment. 
 We remain focused on leveraging PMT's unique relationship with PFSI to actively manage PMT's portfolio. And in the first quarter, we took advantage of tighter credit spreads, selling $111 million of previously purchased floating rate GSE CRT bonds. Importantly, we realized significant gains on these investments with the sales driven by our belief that these investments no longer met our long-term return requirements. 
 Additionally, credit spread tightening drove our ability to issue more than $550 million in CRT term notes at attractive terms during and after the quarter end, effectively refinancing similar notes with extended maturities and reduced spreads. More than 2/3 of PMT shareholders' equity is currently invested in the seasoned portfolio because MSRs and the unique GSE lender risk share transactions we invested in from 2015 to 2020. As the majority of mortgages underlying these assets were originated during periods of very low interest rates, we continue to believe these investments will perform well in the foreseeable future as low expected prepayments extend the expected asset lives. 
 Additionally, delinquencies remain low due to the overall strength of the consumer as well as the substantial accumulation of home equity in recent years due to continued home price appreciation. 
 MSR investments account for more than half of PMT's deployed equity. The majority of the underlying mortgages remain far out of the money, and we expect the MSR asset to continue producing stable cash flows over an extended period of time. 
 MSR values also benefit from the current interest rate environment as the placement fee income PMT received a custodial deposits is closely tied to short-term interest rates. 
 Similarly, mortgages underlying PMT's large investment in lender risk share have low delinquencies and a low weighted average current loan-to-value ratio of 50%. These characteristics are expected to support the performance of these assets over the long term, and we continue to expect that realized losses will be limited. 
 Slide 7 outlines the run rate return potential expected from PMT's investment strategies over the next 4 quarters. PMT's current run rate reflects a quarterly average of $0.35 per share. This is up from the prior quarter, driven primarily by higher expected asset yields in the interest-rate sensitive strategies. 
 Now I'll turn it over to Dan, who will review the drivers of PMT's first quarter financial performance. 
Daniel Perotti: Thank you, David. PMT earned $37 million in net income to common shareholders in the first quarter or $0.39 per diluted common share. PMT's credit-sensitive strategies contributed $61 million in pretax income, including $48 million from PMT's organically created CRT investments. This amount included $36 million in market-driven fair value gains, reflecting the impact of tighter credit spreads. 
 The fair value of these investments was up slightly from the prior quarter as fair value gains more than offset the decline from runoff. As David mentioned, the outlook for our current investment is inorganically created CRT remains favorable, with a low underlying current weighted average loan-to-value ratio of 50% and a 60-day delinquency rate of 1.11%, both as of March 31. 
 Income from opportunistic investments in CAS and STACR bonds issued by the GSEs totaled $8.9 million in the quarter. 
 As mortgage credit spreads continued to tighten during the quarter, the go-forward returns on some of the opportunistic investments that we had previously made fell below our thresholds, and so we sold $111 million of these CAS and STACR investments during the quarter. 
 The interest rate-sensitive strategies contributed a pretax loss of $27 million. The fair value of PMT's MSR investment increased by $72 million as the increase in mortgage rates drove a decline in future prepayment projections and an increase in projections of future earnings on custodial balances. These fair value gains were more than offset by changes in the fair value of MBS, interest rate hedges and the related tax effects during the quarter. 
 MBS fair value decreased by $44 million and interest rate hedges decreased by $70 million. Net fair value declines on assets held in PMT's taxable REIT subsidiary drove a tax benefit of $15 million. 
 The fair value of PMT's MSR asset at the end of the quarter was $4 billion, up slightly from $3.9 billion at December 31 as growth in the MSR portfolio from fair value gains, loan production and MSR acquisitions more than offset runoff from prepayments. 
 Delinquency rates for borrowers underlying PMT's MSR portfolio remain low while servicing advances outstanding decreased to $110 million from $191 million at December 31. No principal and interest advances are currently outstanding. 
 Income from PMT's correspondent production segment was up slightly from last quarter as higher margins offset the impact of lower volumes. Total correspondent loan acquisition volume was $18 billion in the first quarter, down 23% from the prior quarter, driven by our focus on profitability over volume. 
 Conventional loans acquired for PMT's accounts totaled $1.8 billion, down 29% from the prior quarter. The weighted average fulfillment fee rate was 23 basis points, up from 20 basis points in the prior quarter. 
 PMT reported $28 million of net income across its strategies, excluding market-driven value changes and the related tax impacts, down from $41 million last quarter, primarily due to lower average yields on its interest rate-sensitive assets during the quarter. 
 Turning to capital. We issued $306 million of new 3-year CRT term notes during the quarter, effectively refinancing recently matured term notes. And in April, we issued $247 million of new 3-year CRT term notes which refinanced $213 million of notes that were due to mature in 2025, extending the maturities and reducing the spreads for the financing for our CRT assets. 
 We'll now open it up for questions. Operator? 
Operator: I would like to remind everyone we will only take questions related to PennyMac Mortgage Investment Trust or PMT. [Operator Instructions] And your first question comes from the line of Jason Weaver of Jones Trading. 
Jason Weaver: So I was curious about how you view the sustainability of the dividend looking forward. I thought I heard in David's prepared remarks something about a $0.35 earnings run rate. Excuse me if I'm misconstruing that. 
Daniel Perotti: Sure. The -- so sort of similar to what we've seen in prior quarters, our run rate is slightly below our current dividend level. However, we did see the run rate increase during the quarter, really driven by the inversion of the yield curve and the longer-term portion of the yield curve moving up, which moves up the asset yields on our MSRs and MBS portfolio and drive higher returns in our interest rate-sensitive strategies. 
 As we see the yield curve continues to normalize or de-invert, which we expect to happen over the next few periods, we expect that we could see further benefit in the interest rate-sensitive strategies or our projection for the interest rate-sensitive strategies to get back to that $0.40 projection or above. And so our -- when we look at the $0.40 dividend, another sort of tenet of our dividend philosophy is around stability of the dividend. And we're not looking to move the dividend to exactly match to our projections quarter-to-quarter since they move as the market moves, and we see the potential for the run rate to continue to move toward the $0.40 dividend level. And so our expectation is to keep the $0.40 dividend level stable for now unless or until we see the market move in such a way that we don't expect the run rate to continue moving toward that $0.40 dividend level. But at present, especially given the trajectory that we've seen during the quarter and the normalization of the yield curve, our expectation is that we've maintained the $0.40 dividend for the current period and most likely the next few periods. 
Jason Weaver: All right. That's helpful. And then just noting the CRT sales, I was curious about your priorities for new capital deployment given the rate outlook today, whether that is maybe tilted more towards interest rate strategies still and less into CRT. 
Daniel Perotti: I think that -- yes, I think that's fair to say. We've seen more opportunity and have invested some into low rate MSR portfolios over the past couple of periods. As we discussed earlier, we've seen credit spreads tighten pretty significantly in the CRT area or in mortgage credit and where some of those investments have fallen below our return thresholds. Especially if we continue to see a normalization of the yield curve, we think probably the opportunities lie more in the interest rate-sensitive strategies than in the credit-sensitive strategies, barring some change in the overall environment. 
 But the way that we view it I think in previous periods, we've talked about -- we would prefer to have a bit more balance in terms of the credit-sensitive strategies and interest rate-sensitive strategies or interest rate-sensitive strategies, we currently have a greater allocation toward. But our first priority is investing into assets where we believe the risk-adjusted return is the highest and meets our hurdles and that presently seems to be more on the interest rate-sensitive strategies. 
Operator: Your next question comes from the line of George Bose of KBW. 
Bose George: This is Bose. Actually, I just wanted to follow up on the total -- the sort of the return expectation. The increase a lot of it looked like it was based on a higher return expectation on the MSR. And so is that a slower prepayment expectation with higher rates or just -- yes, just curious what kind of drove that piece? 
Daniel Perotti: Not so much a higher or a lower prepayment expectation necessarily, but our valuation methodology as interest rates increase has an impact on the prepayment speeds of the -- expected prepayment speeds of the MSR as well as the projected custodial income but also that we value our MSRs at a spread over the risk-free rate. So as risk-free rates increase, our overall yield or discount rate on the MSR also increases, and so we would expect to earn even if the cash flows were the same or similar -- a greater yield as we move forward due to the fact that we're discounting those cash flows at a higher rate to get to the value that we're at today. 
 And similarly, with the MBS because we mark the MBS to market, as interest rates increase in the yield on MBS increase, we'd also expect that MBS return to be higher as we move forward. 
Bose George: Okay. Great. And then you talked about the benefit from the yield curve or de-inverting, but does that have to happen with the yield curve with long rates remaining relatively elevated? Like if there's a shift down kind of a parallel shift down in the curve? And then the curve de-inverts, does that sort of hurt you to some degree? So is kind of higher for longer with the yield steeper curve better? 
Daniel Perotti: The -- I think overall for PMT, just because overall asset returns would be higher, we would generally be preferable if we were flatter and higher rather than flatter and lower, but the overall -- either way, it would be beneficial for the interest rate-sensitive strategies, whether we're -- our -- since most of our financing is floating rate and based off of short rates. If short rates move down relative to the longer-term asset yields, that is beneficial as well. But if the yield curve shape being constant, just because overall yields on the assets would be higher, technically, I think the higher rate environments with the same steepness of the yield curve would be preferable to a lower rate environment for the returns of the strategy, but either one would be better than an inverted curve. 
Operator: Your next question comes from the line of Matt Howlett from B. Riley Securities. 
Matthew Howlett: The first question just is on -- it must be frustrating with the stability you've put out in book value and earnings to be trading it. In a discount to book, I mean you're kind of in this mortgage REIT group that's trading well below book and not in the group that's trading above group. And I know it must be frustrating. My question for you, David, is the buyback, again, how willing would you be to go when you start buying back shares at a 20-plus percent discount to book? And then I'll tie that into when do you expect to be in the market to refinance the November '24? 
David Spector: Yes. So look, there's things we can control and things we can't control. And I can't control the share price. I can only work to influence the results of the company. And to your point, we've produced really good results, especially if you look back the last 5, 6 quarters. And so I continue to insist as long as we continue to post the results, the share price will take care of itself. And so that's something that we remind people here all the time. 
 I think -- look, we have a limited amount of capital, and we're going to deploy judiciously. And I think that as we look at it in the marketplace, if we see opportunities to continue to deploy capital to meet our required return, we'll do so. I think that we've shown that we'll buy back stock when the stock is discounted. I don't -- I think you heard of that, but what that discount percentage is depends at the point in time. But suffice it to say, we can be patient and we have -- well, we've always been patient, and we'll continue to be patient. 
Daniel Perotti: And then with respect to the 2024 maturity, we continue to look for opportunities to raise additional capital, but we have fully reserved for the retirement of that maturity in our liquidity forecasting. So we have sufficient secured financing assets to be able to retire that maturity even if we do not raise additional capital. That being said, we are looking for opportunities to raise capital that would replace some of that convertible debt that matures in 2024. 
 We've not found what we view to be the right opportunity, yet that supports our basically financing cost goals, but we'll continue to look at the different avenues, whether that be baby bond, which we issued last year, convertible debt potentially or depending on the market dynamics. 
 To your point, if we eventually move to book value, potential equity raise, but we're not looking to do a dilutive equity raise in order to refinance that maturity. And we've, as I mentioned, fully reserved for that in terms of being able to use secured debt to refinance it if we don't find another opportunity that attracts us between the maturity and now. 
Matthew Howlett: Great. And just one last one. How long -- with the current interplay between PFSI, the selling of conventional loans to PFSI and then you're out there sort of buying bulk packages, and how long will that interplay continue? Is there a certain rate level where you'd start not selling loans? I mean presumably, you're out-buying lower coupon bulk and you're selling the higher coupon current production to PFSI, is there some rate level where you sort of stopped that -- you changed that interplay or go back to where it's been historically? 
David Spector: Look, I think it's really a function of capital, and it's a capital allocation decision. Obviously, as we -- if we were to raise more capital and we have more capital to deploy, that would factor into the decisioning. 
 I don't see changing -- and it's not going to change in Q2. I don't think it necessarily see a change in Q3. But I think as we -- if, for some reason, we raised a bunch of capital, we look to address it. And I think it speaks to the great synergistic relationship between the 2 enterprises that PMT has this opportunity to deploy capital in MSRs when in current period MSRs has capital and the desire to do some, and PFSI is there being that they want to continue to grow that servicing portfolio. 
Matthew Howlett: Makes total sense. 
Operator: Your next question comes from the line of Eric Hagen from BTIG. 
Eric Hagen: Eric Hagen. Has PMT ever sold any MSRs? And do you ever look at that as a viable option to generate liquidity? Or is it maybe not really a reasonable option just given the market and the assets kind of higher than what we see in the rest of the market? 
David Spector: Well, look, I think -- look, we're an investment vehicle. It's not something that we've historically looked at. That's not to say we couldn't do it. But I think we look at PMT as an investment vehicle. And I think that the reason we sold the CRT was because it was bought in a period of time where spreads were wide, and that's been the strategy of PMT going back the last year is to strategically deploy capital on credit-sensitive assets. And I think given the fact that the return on that -- on those assets went below the required return, we felt it was an opportunity to sell the investments. 
 It's in a period of time where PMT can't be a serial issuer of capital, so it has to be mindful of having capital to deploy in strategic investments. And so when it gets below the required return, the decision was made to sell. But having said that, there's nothing to preclude PMT from selling servicing. It's just not something that is on the docket. 
Daniel Perotti: Yes. I mean I think that when we look at the core investments of PMT between the MSR and our historical credit risk transfer, and that comprising a -- I think, around 70% of our total equity deployed, we view those as sort of the anchor investment of the company. And given how the characteristics of those investments, those -- the low interest rate and so running off at a slow pace, the positive credit characteristics and the synergy with PFSI's operations in the case that there were some sort of issue, and we saw that come up during COVID, where we were able to implement some innovative programs for our borrowers to enable us to minimize the losses on our CRT that would be realized, we think that it makes sense to generally maintain both of those assets. 
 But as David said, to the extent that we saw an environment in which it's -- we thought that it was beneficial to PMT to sell a portion of the MSRs, then that's something that we could consider. But we generally think of those as our 2 sort of core assets for the company. And given the current position, far out of the money, stable cash flows, low credit exposure, generally think that it probably makes sense to maintain those. 
Eric Hagen: Yes. That's a helpful answer. On the secured leverage side, how much of the funding is fixed versus floating rate at this point? 
Daniel Perotti: On the secured side, all of the -- all of our debt on the secured side is floating rate. 
Eric Hagen: Okay. And should we think of any hedges, that kind of potentially into service there? 
Daniel Perotti: So our hedging, when we look at the hedging -- when we look at our hedging, I mean the way that we think about it is generally against our asset base. Our asset base, we mark everything to market. And so the discount rate on the assets incorporates the short-term rates as well. And so our hedges, we think of as effectively hedging the short-term as well as the long-term part of the rate sensitivity over time, but we don't have any specific hedges against our debt that from a GAAP perspective, for example, neutralize the impact of the short rate changes. 
 Sorry, one other detail on that is just that our -- if you think of the MSRs, the -- our earnings on the escrow balances on the MSRs are also generally floating rate or tied to short rates. Our earnings rate on those are generally tied to short rates. And so that is also an offset to the floating rate nature of a lot of the secured debt. And then on the CRT side, the assets are floating rate. And so it makes sense to pair them with the floating rate debt. 
Operator: [Operator Instructions] And your next question comes from the line of Douglas Harter of UBS. 
Douglas Harter: As you guys are thinking about investment opportunities, how are you thinking about sort of a credit investment in closed-end seconds or the second liens that PennyMac is originating? 
David Spector: We're looking at the execution opportunities -- we look at the investment opportunities of securitizations that are being done with close-end second and jumbos because I think that PFSI increased activity origination of those assets [indiscernible] see the investment opportunity meeting the required return that PMT need and were set out. But suffice it to say that we particularly spreads widened, and there was an opportunity to invest. There's enough activity going on in PFSI that PMT could do with securitization. And I think it's just a function from a PFSI standpoint, they're looking for best execution for PMT, they're looking to achieve their required return. 
Operator: We have no further questions at this time. I'll now turn it back to Mr. Spector for closing remarks. 
David Spector: Thank you. Thank you all for joining us today. If you have any additional questions, please don't hesitate to reach out to our IR department. We appreciate your time, and looking forward to speaking to all of you in the near future. Take care.